Operator: Good afternoon, and thank you for standing by. Welcome to Western Digital's Fiscal Second Quarter 2021 Conference Call. Presently, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session.  As a reminder, this call is being recorded.
Peter Andrew: Thank you, and good afternoon, everyone. Joining me today are David Goeckeler, Chief Executive Officer; and Bob Eulau, Chief Financial Officer. Before we begin, let me remind everyone that today's discussion contains forward-looking statements, including product portfolio expectations, business plans, trends and financial outlook based on management's current assumptions and expectations, and as such, does include risks and uncertainties. We assume no obligation to update these statements. Please refer to our most recent financial report on Form 10-K filed with the SEC for more information on the risks and uncertainties that could cause actual results to differ materially. We will also make references to non-GAAP financial measures today. Reconciliations between the non-GAAP and comparable GAAP financial measures are included in the press release and other materials that are being posted in the Investor Relations section of our website. With that, I will now turn the call over to David.
David Goeckeler: Thanks, Peter, and thanks, everyone, for joining us today. To start, our second quarter results were at or above the upper end of guidance ranges we provided in October. We reported revenue of $3.9 billion and non-GAAP earnings per share of $0.69. These results reflect continued growth in retail in what was a seasonally strong quarter. In addition, stronger demand for our client SSD products as well as our notebook and desktop hard drives contributed to upside in revenue. We continue to work hard delivering for our shareholders, customers, partners, and communities. We adapted to changes in our business and continue to manage the ongoing challenges presented by the pandemic. Our results reflect the benefits of having such a diverse and deep product portfolio, fantastic franchises, a vast customer base, and now an optimized organizational structure. As a result, we have a solid foundation to capitalize on the significant growth opportunities in front of us. I'm excited about the progress we've made over the last few months in the recently established Flash and HDD business units. Both franchises are led by exceptional leaders who are highly focused on executing their respective strategies by establishing their teams, evaluating technology and product development, engaging with customers, and analyzing and effectively capturing target end markets. As we've highlighted in previous earnings calls, we are committed to delivering on our product roadmap, including advancing our product transitions. Notably, we are making great headway with the product transitions of our energy-assisted hard drives and enterprise SSDs. As you all know, these transitions are multi-quarter journeys, but I'm pleased with our progress, which I'll detail shortly.
Bob Eulau: Thanks, Dave, and good afternoon, everyone. As Dave mentioned, overall results for the fiscal second quarter were at/or above the upper end of the guidance ranges we provided in October. Revenue was $3.9 billion, up slightly sequentially, and down 7% year-over-year. Growth in Client Devices and Client Solutions was mostly offset by a decline in our Data Center Devices & Solutions end market. Looking at our end markets. Client Devices revenue was $2.1 billion, up 10% sequentially and 19% year-over-year. Work, school and game from home trends continue to drive demand for both our flash and hard drive solutions for notebook and desktop applications. In notebook and desktop, our flash and hard drive revenue each grew over 20% sequentially, highlighting the power and value of our portfolio for our leading OEM customers. Demand for our smart video hard drive was much stronger than expected, growing 30% sequentially as demand continued to recover from the bottom set in fiscal fourth quarter of 2020 during the height of the COVID-related lockdowns. And lastly, Mobile revenue was down sequentially, with growth in recently introduced 5G phones offset by dynamics within China. Moving on to Data Center Devices & Solutions, revenue was $807 million, down 29% sequentially and 46% from 1 year ago. Revenue from both capacity enterprise hard drives and enterprise SSDs were down sequentially. As Dave mentioned, we had an unexpected delay in a qualification at a cloud titan. As a result, during the quarter, our capacity enterprise drive shipments were negatively impacted and inventory grew. We have since completed this qualification. And as Dave noted, given that a separate cloud titan qualification was completed ahead of schedule, we now have 3 of the 4 cloud titan qualified on our new energy-assisted drives. In addition, we are beginning to ramp our second-generation enterprise SSD products through calendar year 2021. Next, Client Solutions revenue was above expectations at $1 billion, up 19% sequentially and 6% from a year ago. The work, school and gaming from home trend benefited both hard drive and flash-based products, again, highlighting the powerful go-to-market synergies of this channel. Turning to revenue by technology. Flash revenue was $2 billion, down 2% sequentially and up 11% year-over-year. Flash ASPs were down 9% sequentially on a blended basis and down 6% on a like-for-like basis. Bit shipments were up 7% sequentially. Hard drive revenue was $1.9 billion, up 4% sequentially and down 20% year-over-year.
David Goeckeler: Thanks, Bob. As we discussed, Western Digital has worked hard to position ourselves to address this unabated growth in data and therefore, storage technology. And thanks to these efforts, the market has aligned favorably for us. We're running two industry-leading technology franchises in end markets that will only continue to grow as the digital transformation further accelerates. We know that our HDD business is less encumbered by workload mix shifts today and that our flash business is becoming more and more driven by applications. We also have made the right investments and our joint ventures with Kioxia are a strategic differentiating asset. It is an extremely exciting time for our company as we are focused on capitalizing on the tremendous opportunities in front of us. Accordingly, we will continue building momentum behind our business unit strategies, company positioning, strong brand and industry leading fully portfolio. I'll now turn the call over to the operator to begin Q&A.
Operator: Thank you.  Our first question comes from the line of Aaron Rakers with Wells Fargo.
Aaron Rakers: Yes. Thanks for taking the question. Just kind of on the nearline hard disk drive market, I know that you talked about some puts and takes with regard to qualification cycles on the 18-terabytes. But I guess the question first of all is can you help us understand what capacity shipments did in the quarter for nearline? And just help us understand the kind of the shape of the ramp that you expect on nearline as far as capacity shift over the next quarter, a couple of quarters, which – however, you want to kind of discuss your expectations on APTV's ramping going forward? Thank you.
David Goeckeler: Yes, I would say -- thanks, Aaron. So, I would say the mix last quarter was still 14, 16 for the most part. Of course, there are some 18s mixed in there. But as we said, one of big calls that we were working on kind of finished right in the first week of the following quarter. So, we expect that now to start ramping. I think, as I said in the remarks, I think cloud digestion is abating. So, there -- I think the different big players come out of it at different rates. And the first ones are already starting to come out and we expect other ones to pick up as we go through the year. So, the big thing for us is we expect 18 to -- as we get into the middle part of the year, that's where the transition will happen at being the leading capacity point for us. And as that happens, that's good for our business. So, that's basically how we see it.
Aaron Rakers: And what did capacity shipments during the quarter?
David Goeckeler: Bob, do you have the capacity shipment for the quarter?
Bob Eulau: Well, I mean, we don't split it out specifically, but you can see that on the Data Center Devices & Solutions, we were down quite a bit and that was driven both by the capacity enterprise as well as enterprise SSD.
Aaron Rakers: Okay. Thank you.
Bob Eulau: Sure.
David Goeckeler: Thanks, Aaron.
Operator: Thank you. Our next question comes from the line of Joe Moore with Morgan Stanley.
David Goeckeler: Hey, Joe.
Joe Moore: Great. Thank you. Thanks for letting me ask the question. In terms of the NAND gross margins, the improvement that you saw in the December quarter sequentially with prices down 6% like-for-like and the improvement that you're seeing in Q1, where is that coming from? And can you remind us where you are with the start-up expenses from the new fab rolling off?
David Goeckeler: Yes. So, I'd say, kind of as we started talking about last quarter, in the more transactional markets, we're seeing pricing get better. We -- we'll see how that flows through to the negotiated markets over the next couple of quarters. But basically, as we went through the quarter, we saw retail and parts of the channel improve. And as far as K1 costs?
Bob Eulau: Yes, I can update you on K1. So, I think I had originally guided to around $50 million in K1 startup costs this quarter and we actually came in around $40 million. And this quarter, the quarter we're now in, will be at normal production volume. So, we're not going to continue reporting start-up costs because we're really not in start-up mode anymore.
Joe Moore: Great. Thank you. And then in terms of your inventory level, I think you said that the inventory increase was mostly on the drive side. Where are you in terms of your internal NAND inventory?
Bob Eulau: The flash inventory is pretty consistent with the last couple of quarters. We're not -- we haven't really built inventory on the Flash side. We really, as we mentioned in our remarks, really build some inventory in anticipation of the new drive – the new capacity enterprise drives shipping, and that's going to start higher and higher volumes as we go forward.
Joe Moore: Great. Thanks so much.
David Goeckeler: Thanks, Joe.
Bob Eulau: Thanks.
Operator: Thank you. And our next question comes from the line of Wamsi Mohan with Bank of America.
David Goeckeler: Hi, there.
Wamsi Mohan: Yes. Thank you. Thanks for the color on the data center side. I was wondering, just given your comments around the qualification timing, can this segment grow in fiscal second-half versus fiscal second-half of 2020, especially given that the comps sort of get tougher by the end of the fiscal year? And your comments on HDD gross margins sort of worsening sequentially, is this basically – are we waiting for one more quarter, basically the end of the fiscal year before we see HDD margins pick up as you get material pickup in AT&T? Or will these cloud sort of abatement plus the OEM pickup help by your fiscal fourth quarter? Thank you.
David Goeckeler: Okay. Let me see if I can decompose that a little bit. So yes, we expect a pickup in – as we move throughout the year. I think your call on the gross margin – we see the revenue coming back as we move into next quarter and then getting better throughout the year. We kind of guide one quarter at a time. I don't have the year-over-year number on the top of my head. But you're right on margin. We kind of expect one more quarter of maybe flat to slightly down margin on the drive side, and then we'll start to see that accelerate, especially as we move through into higher percentage of AT&Ts.
Wamsi Mohan: Okay. Great. Thank you.
Operator: Thank you. And our next question comes from the line of Toshiya Hari with Goldman Sachs.
David Goeckeler: Hey, Toshiya.
Toshiya Hari: Hey, thanks. Thanks so much for taking the question. I wanted to follow-up on gross margins in your ECD business, David. So again, as you mentioned, this quarter is going to be flat to down. As you move forward with mix improving, hopefully, COVID costs abating at some point, maybe some of the costs related to energy assist going away. Do you think getting back to 30% over the next year or so is a reasonable target? Or is the margin profile structurally different today versus a year ago, two years ago? Thank you.
David Goeckeler: No. I think you hit on the issues there. I mean, first of all, COVID hit last quarter was about 1.7% of a headwind in that business. In mix, we talked about retail being multi-year high. But we believe as we get – we go into 18, we have a path back to the kind of margin profile you're talking about. We just need to get the mix better. I mean COVID's a bit of a wildcard. How fast the – it's really the freight costs, how fast we can get freight costs to come down. It's been obviously pretty sticky about where it's been for the last couple of quarters. And then as I said, as we move into 18 and we see the cloud digest – fully come out of cloud digestion, I think, you'll see a path back to the more traditional margin structure.
Toshiya Hari: Got it. Thank you.
Operator: Thank you. Our next question comes from the line of Mehdi Hosseini with SIG.
Mehdi Hosseini: Yes. Thanks for taking my question. On the Flash side, can you please provide some color as to what percentage of flash revenue were driven from gaming? And how do you see that trending for the rest of the year? And I have a follow-up.
David Goeckeler: Yes. Gaming is still -- I think it's not as significant as it was last quarter, given last quarter, there was a lot of buy in anticipation of the initial builds. So, I would say it's down a little bit sequentially, but it's still a great market for us because we can play the console side of it and the retail with WD Black, which has been very, very well-received in the retail channels. It is part of the reason, the retail business is doing well, and the margins are good as we're investing in brand in addition to just the product. So sequentially down a little bit, but still expected to be a good market as we move throughout the year.
Mehdi Hosseini: Gotcha. And then one additional follow-up on the flash side. Last earning conference call, you alluded to the fact that you are a couple of quarters away from finalizing contracts with OEMs and as prices or supply demand at Titans, do you see OEMs stepping up and signing longer term contracts, or is this just going to be a guesswork as to how they plan for, especially like one or two quarters out?
David Goeckeler: Yes. I think what I talked about last quarter was actually a qualification at the OEMs and that's a multi-quarter activity. The pricing is negotiated on a quarterly basis, and there's a long-term agreement of, let's say, on a year timeframe of what the target share is, but that can move around a little bit. But that gives you a sense about how the market works.
Mehdi Hosseini: But how do you see the dynamics like today compared to like October conference call?
David Goeckeler: Of which part, the call, or the share, or the pricing?
Mehdi Hosseini: Well, the qualification and how I think as you look into remainder of the year, do you see more of a pricing power coming back to the suppliers, or is it still going to be a hard negotiation?
David Goeckeler: Well, I mean -- so the qualification was all about our second-generation NVMe enterprise SSD product, which is quite a mouthful. But that qualification -- I think last quarter, I said we were scheduled to start a qualification this quarter. I said in October, we were scheduled to start qualification in our fiscal second quarter, which did start and is underway. And that is a multi-quarter process. And assuming it's successful, put us in a stronger position to ship that product into the OEM -- into the big OEM. So it's underway. As I said in the prepared remarks, and I think I've been talking about now for a couple of quarters. The qualification in my book is the last phase of the development process. It can move around a little bit. But the fact that it's underway is a good sign for -- we're working to expand the TAM of that product.
Mehdi Hosseini: Got it. Thank you.
Operator: Thank you. Our next question comes from the line of C.J. Muse with Evercore.
C.J. Muse: Good afternoon. Thank you for taking the question. A question on the NAND side. Can you speak to what's driving the better than seasonal demand in Q1? And then beyond March, how are you thinking about changes in your mix? And what impact that will have on your gross margins? Thank you.
David Goeckeler: So I'll take -- I'll give you a perspective, and share Bob's perspective as well. So we've been talking about retail for several quarters now. It's been good. The team has been doing a great job launching new products. I talked about WD Black in the gaming segment, ArmorLock, security and enterprise SSD, so lot of really good work there. And so that continue -- we expect that there's momentum there, let me put it that way. PC, notebook demand, we still see as being strong. And we talked about what I think was a significant milestone for us this past quarter was finishing the qualification of our second-generation NVMe enterprise SSD product at one of the cloud titans. And that finished right at the end of the quarter and we started shipping. So that is -- that's accretive as well.
Bob Eulau: Yes. I don't have a lot to add. I mean I think it's -- retail continues to be strong in this work from home environment and the enterprise SSD business will just keep picking up.
C.J. Muse: And just to follow-up on how you're thinking about mix beyond the current quarter and what the implications are for margins?
David Goeckeler: Well, I mean, say a little more. I mean, we're still -- I mean, we still have a – I would say, we're focused on a balanced portfolio. I mean, we're clearly working on improving our position on enterprise SSD. That's been a big goal for the company for -- even before I got here. And our second-generation product is things are going well. I think 150 qualifications now, including one of the big cloud players, which is a good breakthrough. We're still – client SSD is obviously a strength for the company and has been for a while. We talked about gaming last quarter. And then mobile, we still have a healthy mix into mobile. I think we're under-indexed to the market, but we're still in that market because it's very, very important to be in that market. So I expect a balanced mix across that. And then mix in some IoT and automotive and you get most of the portfolio.
C.J. Muse: Thank you.
Operator: Thank you. Our next question comes from the line of Sidney Ho with Deutsche Bank.
Sidney Ho: Thanks for taking my question. The question I have is on NAND. It's good to see NAND margins improving and price decline moderating. How do you see industry supply-demand balance for the rest of the year maybe compared to what you think a quarter ago? And how do you see your own bit shipment growth this calendar year and kind of the shape of that for the rest of this year? Thanks.
David Goeckeler: I guess what we would say about investment in the industry is we're pretty much where we've been, which we think the industry has been pretty good about this. I mean, there's a lot of variability on investment on supplier by supplier, capital cycles vary, even no transitions within each supplier vary about how much capital require – how much capital is required. In our case, BiCS5 is a very capital-efficient node. BiCS6 will require a little more capital. We'll talk about that when we get there. So we still see a pretty good balance. We see strong demand drivers. We see I think we see bit growth this year, probably low 30s, low to mid-30s, and we see demand above that. So I think nothing we're seeing in the environment surprises us tremendously.
Sidney Ho: Okay. Thanks.
Operator: Thank you. And our next question comes from the line of Patrick Ho with Stifel.
Patrick Ho: Thank you very much. Dave, maybe qualitatively, now that you've been at the company for almost a year, without, I guess, financial quantification, with the two businesses now separated, where do you see the most improvement in the time that you've been here so far? Is it in the R&D side of things? Are you more efficient there, manufacturing supply chain? Where are you seeing the most gains? And where do you think, as you go into your second year, you see more opportunities to improve?
David Goeckeler: So, I guess, what I would say is, first of all, it's been an extraordinary 10 months and especially to join the company at the beginning of a global pandemic that I don't -- that hasn't happened in our lifetimes, at least not mine. And so, I think, it's been -- it's just been extremely impressive to see how the company has responded to that. And the evolution of that in the early days, a lot of issues on the supply side that have just been completely worked out and things are running extremely well. I think we've made a lot of progress on the -- just what you said, really understanding where the synergies of this portfolio are, which are on the go-to-market side, the fact that we bring a broader solution to our customers. And I think we understand our customers' requirements well, given that we can play in both the drive market and the flash market, but that they're very different products. And driving the road maps up, I mean, the technology is extremely important and to separate those in the BU. And I think we -- we're -- it's still pretty early, but the impact of having two very accomplished leaders join an already strong team, it just has an immediate impact on clarifying the road map, understanding where we're investing our R&D dollars, engaging with customers in a way that can drive the portfolio. So I think we've made really good progress there, but I think it will continue to get better as we go when these leaders get -- and the groups get more established. And then the other thing I'll say, which is not really something that I expect to get better. I think it's something that I just always want to reinforce is, the value of the partnership with Kioxia. And I've spent -- given I can't travel, we still spend a lot of time with the leadership there. Obviously, our teams work together on a day-by-day basis. I'm not saying – I’m not pointing this out because it works extraordinarily well, and it's just a tremendous strength of the company, and it's been really great for me to be a part of it over the last 10 months.
Patrick Ho: Great. Thank you.
Operator: Thank you. Our next question comes from the line of Mitch Steves with RBC Capital Markets.
David Goeckeler: Hey, Mitch.
Mitch Steves: Hey. How are you doing, sir. I had two questions. I'm actually going to focus a little bit more on the hard disk drive side. So first is just kind of on the margins. If I look at the kind of the run rate of the business right now and I compared it to 2018, it was -- back then, it was kind of a 27% gross margin business on roughly $2 billion of revenue. So, if I assume that COVID-related headwinds and kind of the supply chain issues, or about 100 basis points of headwind to gross margin, am I roughly accurate there? So, I'll start with that one, I have a follow-up after that.
Bob Eulau: Yes, I think it's closer to 170 basis points of headwind.
Mitch Steves: So, the number would have been kind of 27.2, 27.3, in that rough range?
Bob Eulau: Yes. Yes, that's correct.
Mitch Steves: Okay. And then secondly, you guys used to disclose a little bit more detail on the non-compute units. I think those were up pretty significantly Q-over-Q, 8.2 going to 10.1. I'm just curious if you can give us any sort of like directionality in was it more consumer electronics or was it more your branded units are doing better for the quarter?
Bob Eulau: I don't want to get too much into the specifics. So, one of the things we did mention was smart video was up quite a bit sequentially and that's in the non-compute area. But we're just on the hard drive side, on client and notebook, we did really well.
Operator: Thank you. And our next question comes from the line of Tom O'Malley with Barclays.
Tom O'Malley: Hey guys. Thanks for taking my question. My question is really centered around the transition of the two CloudTitans with the HD qualifications. You said one slipped a little, one came in a bit earlier. Can you talk about what the mix of those transitions kind of net? You talked about obviously, the gross margin slipping into the next quarter, but then kind of recovering. So, we're seeing a bottom there. Do you think that the out quarter is benefiting from this with the one coming in earlier, or do you think it's a negative transaction in the near-term? I just want to get a little bit more color about how it affects the business into March?
David Goeckeler: Yes, I think -- so if you look in last quarter, there was some business we expected to ship on 18 that we didn't because the qualification wasn't done and it actually wrapped up, I think, the first week of January. So, some of that business mixes into other capacity points and some of it goes to other suppliers. But -- and then in the other qualification that we didn't expect to finish until -- it wasn't -- we didn't -- and the schedule was the end of the -- towards the end of this quarter we're in. That actually finished sometime last quarter, very smooth. So, what it says is looking backwards that things could have been a little better if the one would have finished on time, but going -- now they're both behind us. So, going forward, we're in a position to start to ship 18s to both of those customers as they ramp the capacity point. Does that help?
Operator: Thank you. And our next question comes from the line of Harlan Sur with JPMorgan.
Harlan Sur: Good afternoon. Thanks for taking -- hey, good afternoon. Thanks for taking my question. On the gross margins on the flash side of the business, good to see the inflection in gross margins in December. As you guys mentioned, start-up costs are coming out here in the March quarter. So, that's about 150, 175 basis points gross margin tailwind to NAND. And then on top of that, you're seeing better pricing trends and maybe getting a little bit of benefit from the higher margin trends from your initial shipments of your Gen 2 NVMe products. So, are gross margins approaching 30% here in the March quarter, or maybe if you could just help me understand some of the puts and takes on gross margins for NAND.
Bob Eulau: Yes. So, Harlan, I mean, you talked about a number of the moving parts. And we're definitely, as I said earlier, expecting gross margins to improve on the flash side. We saw in the last quarter, I'd say, very -- good pricing trends in the transactional markets. The OEM markets, we negotiate one quarter a time. So it's – and we did that, obviously, in the middle of last quarter. So it's a little hard to say how much we'll see there. And then we're continuing to do a good job on the other part of the equation, which is cost reduction. We still think we're very confident in our 15% year-over-year cost decline. So I think it's just a question of how pricing plays out as we move forward. But I think we're in a very good place.
Harlan Sur: Yes. Absolutely. And just a follow-up. So many of the suppliers of your HDD and SSD controller chips are seeing tightness in wafer supply, assembly and test capacity. Are your shipments here in the March quarter potentially being somewhat held back because of lack of controller availability from some of your merchant or ASIC controller chip suppliers?
David Goeckeler: Yes, there's no doubt things are tight, and we're not immune from that. I mean, clearly, we have our financial plan covered with components. But when you do go looking for things from the semiconductor supply chain, it is tight right now. So we'll see how it plays out during the quarter.
Operator: Thank you. And our next question comes from the line of Nik Todorov with Longbow Research.
Nik Todorov: Yes. Thanks, guys. Good afternoon. I understand, David, I think you talked about seeing continued momentum in retail and PCs. But maybe we can extend a little bit. I would like to hear your thoughts about how you see those trends persisting as we look forward. I know visibility is probably not as good. But I just want to hear your thoughts, how you're thinking as we go into the following quarters, the demand from PCs and retail and work-from-home specifically?
David Goeckeler: Yes. I mean, it's obviously a very dynamic environment with the pandemic and seeing resurgence in certain parts of the world and more lockdowns in parts of the world. So it's hard to call it more than one quarter a time. We guide one quarter at a time, but I think I understand your question a little bit broader. I guess what I would say is in retail, we've really just dialed in like how to deal with this environment we're in and the dynamic nature of it. And I think that the new products that we've been launching have been well received. Again, I mean the WD Black gaming product, we're doing co-branding with other folks. We introduced a product around security and storage that I think is going to be good for us. So a lot of investment in the brands, which are strong, make sure we keep share of voice high. And it has been an area where we've been able to get some momentum and keep some momentum, I think, going a couple of quarters back. So but it is, to your point, it's very dynamic given the COVID situation and the lockdown. So we'll see above seasonality performance. Q1 is a seasonally weak quarter for retail, but we're planning to do a little bit better than that.
Operator: Thank you. And our next question comes from the line of Ananda Baruah with Loop Capital.
David Goeckeler: Hi, there.
Ananda Baruah: Hey, good afternoon. Thanks for taking the question. Yes, I guess if I could just go back to the gross margins on the flash side. Longer term, intermediate and a longer-term view, you guys see a path to sustainably greater than 30% margins. I think you've talked about it in the past. And if so, what are the kind of signpost or mechanisms that need to manifest to have that be the case? Appreciate it.
Bob Eulau: Yes. I guess, I can start with that. And again, as we all know, a lot of this depends on the supply and demand and what's going on with the industry. We've been encouraged, as we said about the pricing in the transactional markets over the last few months. As we move forward, we're pretty confident on the demand side for the year. I mean, there's just obviously a big demand on the mobile side. We think we're going to see very good demand on the enterprise SSDs. We've already had a strong position on client SSDs. So we feel pretty confident on the demand side. And we think the supply side appears to be pretty rational. And I think if that's the case, we should see margins improve from here. But I don't want to put a particular milestone or a particular goal out there, but I think it's going to be a pretty good market in 2021.
David Goeckeler: Yes. I think we've been signaling that about 2021 for a couple of quarters now. Again, we don't want to get ahead of ourselves. We do have more exposure to the transactional markets, which helps when things start going in a positive direction, but it's got to flow through to the negotiated market still, and we'll see how that plays out over the next couple of quarters. The other thing I'll highlight on this is really important, and Bob touched on earlier, is just make sure we maintain our cost position. And as I've highlighted a couple of times in the prepared remarks and what I said earlier, with our partner, Kioxia, we're the largest provider of NAND flash memory in the industry. We jointly develop our technology road map. So we're heavily invested in that. We believe we've got tremendous technology that allows us to deliver the power performance bits we need. You see our technology is lower layer count than others. That means it's more efficient process. So we feel good about that; that sets us up to continue to drive the 15% year-over-year cost declines. So we got to make sure we keep our eye on that side of the equation as well.
Operator: Thank you. And our next question comes from the line of Jim Suva with Citigroup Investments.
Bob Eulau: Hey, Jim.
Jim Suva: Thank you. Hello. And you have implemented a more tightly focused on your two different segments, the flash and HDD segment, and kind of have been out for a little bit now. Have they -- those leaders done the work to where we're actually seeing the fruit of all their efforts now, or are they still implementing a lot of those and the fruit still have to be rolled out of their efforts, because it seems like prior to this, Western Digital has been very much known for a company that sometimes executes very well and other times has a few slip-ups. So I'm just trying to figure out, are we at the mid-point of them implementing all their changes in the early innings? Are we actually at the point now where what they found and discovered and wanted to align that we should expect going forward? Thank you.
David Goeckeler: Yes, Jim, I think that -- so first of all, I think we see benefits of -- any time you add to leaders to your business that are run multi $10 billion portfolios in the technology space, you're going to get an immediate benefit from that. You just have two more very, very senior business leaders that are looking at the portfolio every day, that are engaging with customers every day, reviewing engineering products every day and providing a level of perspective that is highly developed and their main job is to integrate all the different pieces together into a business. So you're going to see an immediate benefit of that, and we have. But then they're going to start working on, okay, I'm going to start looking at the roadmap of our products and make sure I've got the right fit. I'm investing in the right places. To me, your technology roadmap is kind of like an articulation of the future value of your company. What markets are you going to be in? Where are you going to invest? And the timeline for those payouts are different -- there's different time horizons to that. So if you come into a technology franchise and you own it and you're in the middle of a big engagement with a customer, for example, you now have another person that can get involved in that process and understands immediately how to engage in that in a very senior way, how to communicate information, how to guide their teams and so I think you'll see an immediate benefit. There's other parts of it where we're making decisions on what products are going to come to market in 2 years from now or 3 years from now. And so their job is to really integrate over all of those time horizons and get the best results, given the investment we put in the business. So we've seen benefits already. But there will be more to come. And I think you will see crisper execution, and you'll see that the portfolio is optimized to give us the best return for the investment we're making.
Operator: Thank you. And our next question comes from the line of Karl Ackerman with Cowen.
Karl Ackerman: Yes, good afternoon. Gentlemen thank you for letting me ask the question. Hi. I had a question just on, I guess, your Hard Drive business. Your peer spoke about a recovery in data center in the first half of the year. And I'm curious if that resonates with you such that you could achieve 35% ex by growth for your nearline business in fiscal 2021 And I was also hoping you could juxtapose what you're seeing across on-prem and cloud within that nearline business? And then I guess, thirdly, if I may, I was hoping if you can achieve that 35% x by growth, can you do that with your existing capacity today or if you could touch on your capacity expansion plans as well? Thank you.
David Goeckeler: So I think your first part of the question was about what are we seeing when you say enterprise on-prem market. So...
Karl Ackerman: Nearline, specifically.
David Goeckeler: Yes, nearline. I would say it's -- I think the term I used in the prepared remarks was stabilization of the enterprise of the OEM market. And I think that's kind of how we're seeing it. It's on or above forecast of what our customers are telling us. So it looks better. I wouldn't -- it's certainly not pre COVID yet. And it's easier to judge going forward, but not back to where it was. And that's not surprising given the environment we're in. As far as the cloud, we talked about different cloud providers come out of digesting at different rates throughout the year. And then as far as exabyte growth, we see that 32%, 35% in that range, exabyte growth. I think that's been the long-term growth of the industry. We see that going forward. Again, I think coming out of the pandemic, we'll see does that line tilt up or not, given the dependence on technology in the cloud that we all see, but we have yet see that. So we see good growth in the capacity enterprise business as we move through the year.
Operator: Thank you. And our next question comes from the line of Srini Pajjuri with SMBC Nikko.
Srini Pajjuri: Thank you. Hi, guys. First, I have a clarification for Bob. Bob, on the client devices growing 10%. You said the desktop and notebook grew 20% and video grew 30%, and there was an issue in China. Just trying to understand what that was in mobile in China that you are referring to.
Bob Eulau: Yes. It was actually Huawei, which we talked about last quarter. And so, we're not shipping to Huawei either, on the flash side or on the hard drive side.
Operator: Thank you. And our next question comes from the line of Shannon Cross with Cross Research.
Shannon Cross: Thank you very much. I just had a question on CapEx. It seems as if you've shifted a little bit more, I think, from cash CapEx into the flash ventures. And I'm just curious, how we should think about that, if there's anything there? And then also, what are your thoughts on the amount of CapEx that's going to be needed over the next few years as you look at, hopefully, an improving market? Thank you.
Bob Eulau: Yes. No, it's a good question. And first of all, what I would say is in terms of gross CapEx, which we define as the -- our portion of the investments that are made in the flash joint ventures, as well as investments we make on our own balance sheet for the back end of the Flash business as well as the Hard Drive business. We expect gross CapEx of around $3 billion this year, and that's been -- what I've said the last couple of quarters. What's a little different this year relative to last year is that we are investing more on the hard drive side. As we look out over the next few years, I mean the first priority is always going to be reinvest in the business. And so, we'll see how the growth goes over the next few years and make sure that we're investing to support the growth in the market. But I think probably where we’re at right now is about what I would think about for the future.
Shannon Cross: Great. Thank you.
Operator: Thank you. And our last question comes from the line of Steven Fox with Fox Advisors.
Steven Fox: Hi. Good afternoon. Thanks for squeezing me in. Can you just maybe broadly talk about your thinking around edge cloud compute for 2021? It seems like based on what the service providers are talking about, that this could be a year where it starts to pick up noticeably. And so, where do you think you're going to play with NVMe drives versus HDDS? And how you think you're positioned competitively? Thank you.
David Goeckeler: Yes. I mean, I think, that's potentially a very deep conversation. So how are we positioned? I think we're positioned actually quite well, because we can play in -- if it's a lot of the heavy lifting of big time storage is HDDs and will be for a long time. But obviously, enterprise SSD is going to be a big growing market there as well. And that's why we're so focused on our NVMe enterprise SSD. As far as how the architecture of the cloud plays out, I mean, clearly, as we have more devices that are enabled at the edge, I think you're going to see more points of compute and storage that get closer to that. I agree with you, this could be -- it could be getting closer. It's been talked about for a while. But I think this is something that's so exciting about our business. I mean, the whole world is more technology-enabled. I think the pandemic accelerated that. I think the architectures to support that are going to continue to evolve. And I think we have the portfolio that's well positioned, no matter how that plays out. We can play on the edge, all the way to the device. And clearly, we play at the foundation of the cloud as well. So, it's a fun place to be.
Operator: Thank you. I would now like to turn the call back over to CEO, Dave Goeckeler, for any closing remarks.
David Goeckeler: All right, everybody. Thanks for joining us today. We appreciate it. We will see you during the quarter. Take care.
Bob Eulau: All right. Thank you.
Operator: This concludes today's conference call. Thank you for joining and you may now disconnect.